Operator: Good morning, and welcome to Wiley’s Third Quarter Earnings Call. As a reminder, this conference is being recorded. At this time, I’d like to introduce Wiley’s Vice President of Investor Relations, Brian Campbell. Please go ahead, sir.
Brian Campbell: Good morning, everyone, and welcome to our third quarter 2017 earnings call. Just some housekeeping items before we begin. The call is being recorded and may include forward-looking statements. You shouldn’t rely on these statements, as actual results may differ materially and are subject to factors discussed in our filings with the SEC. The company does not undertake any obligations to update or revise forward-looking statements to reflect any subsequent events or circumstances. For those who prefer to listen to the call over the phone, but still want to view the slides, we recommend that you click on the Gears icon located on the lower portion of the left-hand side window and select Live Phone. This will eliminate any delays in viewing the slide transitions, as well as remove any potential background noise if you prefer to ask a question. After the call, a copy of the presentation and a playback of the webcast will be available on our Investor Relations page. I’ll now turn the call over to Mark Allin, Wiley’s President and CEO.
Mark Allin: Thank you, Brian, and good morning, everyone. Joining us on the call today is John Kritzmacher, CFO and Executive Vice President, Technology & Operations. I will speak to business performance, and John will follow with an update on operations, balance sheet, cash flow and outlook. Before talking about results, note that I will be excluding the impact of foreign exchange when commenting on all variances. Foreign exchange continues to be a revenue headwind, particularly in light of the Brexit decision. The unfavorable impact to revenue is approximately $13 million for the quarter and $37 million for the nine months. In terms of EPS, the currency impact was neutral in the quarter but unfavorable by $0.05 for the nine months. Please note the impact of FX on our EPS is somewhat naturally hedged by the global footprint of our operations, particularly in the UK. Now onto results. Revenue for the quarter was up 3%, which is primarily due to the $29 million favorable impact of the shift to time-based journal subscriptions. As a reminder, while the transition from issue-based to time-based digital journal subscriptions for calendar year 2016 to simplify the contracting and administration of these agreements, approximately $34 million of revenue and $0.38 of EPS shifted from fiscal year 2016 to this fiscal year with most of it showing up in this quarter. Note the original projection was for $37 million and $0.42 but the numbers have changed a bit due to foreign exchange impacts, primarily weakness in the British pound. Also contributing to revenue growth was an $8 million contribution from the Atypon acquisition, steady performance from journal subscriptions and a double-digit growth from the Solutions segment which helped offset a market driven 18% decline in book publishing revenue and the impact of an unusually large one-time $10 million backfile sale in the prior year period. We will discuss book performance in more detail when we get to our segment results. Note if you exclude the impact of the time-based subscription shift and the contribution from Atypon, third quarter revenue at constant currency declined 5%. Adjusted EPS for the quarter was up 37%, primarily due to the $0.33 impact from the shift to time-based subscriptions and $0.12 in one-time tax benefits related to foreign tax credits, which offset Atypon and Ranku dilution of $0.03, the high margin backfile sale in the prior year and weakness in book publishing. Excluding the time-based subscription shift and the Atypon and Ranku dilution, adjusted EPS at constant currency declined 5%. Free cash flow was a positive story rising from $19 million in the prior year period to $120 million with most of that due to early journal cash collections. This is largely a result of the introduction of our database model, which has accelerated renewals and reduced transaction complexity for our customers. Most of that improvement will unwind in the fourth quarter, as we near the completion of a subscription sales cycle. Lower tax and restructuring payments also contributed to the favorable cash performance. In our education services business, we signed four prominent universities as Online Program partners; George Mason, St. John’s and Seton Hall in the U.S. and Vlerick Business School in Belgium, as well as 19 new programs. Moreover, this business continues to make significant progress in growing operating profit. Journal subscription renewals are up 5% with 87% of calendar year 2017 business now closed. As noted, the improvement is primarily due to sales acceleration in the rollout of our library database model. For the full calendar year, we are projecting about 1% growth in subscriptions in line with the market. We are making good progress with the Atypon integration which will be key to our strategy of growing underlying revenue in research. Atypon’s market leading online publishing platform provides digital distribution, Web development tools and analytics for over 200 publishers and societies. We believe that Atypon and Wiley together are uniquely positioned to extend our services for authors and society publishers. With all of that said, underlying results for the quarter are mixed. As I noted, our biggest business Research continues to deliver solid performance while our Solutions businesses are growing well in very competitive markets. We faced system market challenges in our books business, particularly education, which is down 27% for the quarter and 19% for the nine months. As a result, we are revising operational guidance for revenue downward from flat to a low-single digit revenue decline. On a comparable basis, revenue is down 3% year-to-date. Adjusted EPS guidance of a mid-single digit decline is reaffirmed. On a comparable basis, adjusted EPS is down 6% year-to-date. Both projections exclude the impact of foreign exchange, the favorable shift of subscription revenue, the impact of the acquisitions and unusual charges and credit. I’ll just touch briefly on this slide focusing more on the year-to-date numbers. For the nine months, revenue, adjusted operating income and adjusted EPS were up 1%, 3% and 6%, respectively. However, if you normalize for certain non-operation items including the favorable shift to time-based subscriptions, the impact of the Atypon and Ranku acquisitions, tax and restructuring charges and the pension settlement, the underlying performance for year-to-date revenue, adjusted operating income and adjusted EPS saw a decline of 3%, 11% and 6%, respectively. As already noted, steady Research performance and the strong Solutions growth were more than offset by the continuing market driven decline in book publishing. Year-to-date earnings performance was also impacted by investment in ERP and other areas as expected. Moving to our Research segment. Third quarter journal revenue increased 12% primarily due to the shift to time-based subscriptions which offset a $10 million backfile sale in the prior year period. On an underlying basis, journal subscription performance was even while author-funded access grew by 15%. Atypon contributed $8 million in the quarter and $10 million year-to-date. We are pleased with Atypon’s top line performance and enthused by what the platform will enable for us both technically and strategically. Calendar year 2017 billings are up over 5% with 87% of business closed, although much of this is due to earlier renewals enabled by our move to the database model which has been very well received by customers. As a reminder, we implemented a new database model in fiscal 2016 for our largest and most mature customers providing attractive pricing, simplified contracting for online access to our entire collection of research journals. These benefits have accelerated the selling cycle and cash collections. For the full calendar year, we expect billings to be up around 1%. We renewed or extended 78 society publishing contracts in the quarter worth $57 million. Overall, we netted a very marginal decline in society publishing contracts for the quarter. As a reminder, for the full calendar year 2017 we expect a flat to modest net gain in our contracted society publishing business. Adjusted contribution to profit or adjusted CTP was up 17% due to the favorable $25 million shift to gross profit related to time-based subscriptions which offset the high margin $10 million backfile in the prior year and investment to migrate Wiley Online Library to Atypon’s Literatum platform. As a reminder, Literatum is the most widely used and fully featured online publishing platform for the professional and scholarly publishing industry hosting one-third of the world’s English language journals. Through the nine months, revenue and adjusted contribution to profit were up 8% and 4%, respectively, again driven mostly by the time-based subscription shift. In short, we’re generally pleased with the consistent performance of Research, our largest and most profitable segment. For the quarter, the publishing segment which includes books, course workflow and online test preparation experienced a revenue decline of 13%. Book publishing had another difficult quarter with education down 27% and STM and professional down 12%, primarily driven by print declines across most categories and an unusually large online book sale of $4 million in the prior year. Sales of new textbooks continued to be severely impacted by lower cost rentals, channel inventory corrections and softer enrollments. Brighter spots include online test preparation and course workflow, both continued to deliver good growth, up 29% and 7%, respectively. Our recently launched ACT test prep solution is performing well and we see strong momentum in securing new testing and certification partnerships and products. Adjusted contribution to profit declined 21%, primarily due to the revenue decline. For the nine months, revenue and adjusted contribution to profit were down 11% and 15%, respectively. It goes without saying that book markets have been struggling for some time and we have not been immune. The pace of market erosion has accelerated over the past year. Our content is still in demand but often in different formats or models available at lower price points. In some case, the content is in demand if package is part of the service. In addressing these market trends, we are examining our portfolio to determine which parts of the business are attractive to us and which do not align with our longer-term learning strategy. We will provide more detail in June. Note that our combined books business made up less than 30% of total year-to-date revenue. The education book business responsible for much of that decline was less than 13% of revenue. Solutions is a good story as the segment continues to post double-digit revenue gains and significant profit improvement. The important news here is the signing of four new university partners and 19 new programs. We continue to benefit from our unique position as a top online program management provider, a leading academic research publisher and a reputable provider of course material. We continue to optimize our portfolio and improve operating efficiency. In the quarter while underperforming non-U.S. partnership and six programs under contract were discontinued, as of January 31, while we had 40 university partners and 244 programs under contract compared to 37 partners and 231 programs at the end of last quarter. Corporate learning continues to see strong double-digit growth from new and existing corporate clients across Europe and North America. In the quarter, while we signed prominent clients in the U.S., Germany, the UK and France, the professional assessment business up 5% continues to be driven by consistent growth from the post-hire business. Adjusted contribution to profit more than doubled again to $5 million due to improved operating efficiency, particularly in the online program management business. For the nine months, revenue is up 13% while adjusted contribution to profit increased from $500,000 to $11 million. And now over to John who will take you through our shared service costs, balance sheet, cash flow and outlook.
John Kritzmacher: Thank you, Mark. Adjusted shared services costs declined 4% in the quarter driven by 5% declines across distribution and operations and technology and content management. We continue to make real improvements in our operational effectiveness as an organization with more opportunities still ahead. Technology, excluding content management, was down 5% in the quarter due to lower applications development expense, including lower ERP spending. We expect technology spend, which includes our ERP investment, to be up about 5% for the full year. Looking more broadly, we continue taking actions to drive operational excellence and cost efficiencies across all our businesses. Towards that end, we incurred a $9 million restructuring charge in the quarter. Approximately 6 million of the charge relates to facilities consolidations with near-term paybacks. Another 3 million of the charge covers severance related to additional workforce efficiency gains. Our balance sheet continues to provide us with the flexibility and capacity to prudently invest in our business while also returning capital to shareholders. At the end of the third quarter, net debt had been reduced to 383 million from 429 million in the prior year period. On a trailing 12-month basis, net debt to EBITDA was 1.1 and also 1.1 at the end of the prior year period. With respect to potential acquisitions, our interest remained focused on enablers for profitable growth in digital, research and learning solutions. These opportunities would include adding highly synergistic products and services and increasing scale in our growth businesses. Cash flow is up sharply year-to-date with operating cash flow at 229 million versus 117 million in the prior year and free cash flow, less composition spending, at 120 million versus 19 million in the prior year. Note that we have expanded the free cash flow label for clarity but the underlying metric is unchanged. The favorable performance was mostly driven by earlier journal cash collections largely as a result of our successful transition to a database journal subscription model for our largest and most mature customers. These accelerated journal cash collections were largely pulled forward from the fourth quarter and most of the year-to-date gain will unwind in the next quarter. Also contributing to free cash flow performance were a reduction in tax payments of 9 million and a decline in restructuring payments of 9 million, which offset higher CapEx related to our headquarters. Throughout the year, we have said that cash flow from operating activities would be flat and free cash flow would be down by 30 million due to higher capital investment. This expectation continues to be roughly right. As a reminder, we spent 120 million on the Atypon acquisition which closed in the second quarter. Finally, we utilized 14 million this quarter to repurchase 255,000 shares at an average cost per share of $55.14. Through nine months, we returned a total of 89 million to shareholders in the form of dividends and share repurchases. Our remaining share repurchase authorization is approximately 4 million shares. As a reminder, we typically review the quarterly dividend at our June Board meeting. Throughout the year, our operational outlook has called for flat revenue and a mid-single digit decline in adjusted EPS. Through nine months, revenue is down operationally 3% due to the accelerated market driven decline in books. Given the book market weakness, we are lowering our full year revenue projection to a low-single digit decline. Meanwhile, our year-to-date adjusted EPS is down operationally 6%. Despite lower revenue, we are maintaining our forecast for a mid-single digit decline in EPS partly enabled by the one-time tax benefits of $0.12 realized in the third quarter. As a reminder, our operational outlook excludes several items starting with the impact of foreign exchange. Year-to-date, foreign exchange has adversely impacted revenue and EPS by 37 million and $0.05, respectively. Our operational outlook also excludes the impact of shifting to time-based subscriptions which favorably impacts revenue and EPS in fiscal 2017 by 34 million and $0.38, respectively. And the outlook excludes the Atypon and Ranku acquisitions which will add 20 million of revenue but $0.10 or EPS dilution. We also exclude unusual charges and credits, including the $0.84 second quarter charge related to the German tax decision. I’ll now turn the call back to Mark.
Mark Allin: Thanks, John. In summary, Research and Solutions continue to perform well and as expected. We are focused on improving top line growth in the former and profitability in the latter. Atypon is a key strategic focus for us allowing us to blend together content and service in this global digital and dynamic marketplace. It immediately positions us as an innovative leader in this space. Our focus is to improve top line performance in this all-important segment and we believe we have the assets to do that. Our online program management business is showing very strong momentum with the signing of four new partners and 19 new programs. The partnerships are getting larger as evidenced by our George Mason announcement. Corporate learning continues to make good progress on two continents with new corporate clients signed in the U.S., UK, France and Germany. In addition, the year-to-date profit contribution for the Solutions segment has risen from $500,000 in the prior year to nearly $11 million today. We are addressing the issues in book publishing. We will provide more detail on performance and remedial actions during our year-end conference call. We recognize the problems, we’re addressing them and we’ll share more information as we finalize our plans. Our content is still in demand but the market is evolving rapidly presenting both challenges and opportunities, which we are moving to address at pace. Our operational revenue outlook for this year has been revised downward but adjusted EPS is reaffirmed. While fiscal 2017 is an investment year and books are challenged, our foundation in research and learning services remains on very solid ground. Our strong cash flow generation should only improve over time and our focus on operational excellence and investment should yield significant long-term benefit. We have work to do but we remain fully confident in our asset base, including both content and platforms, in our market position and in our people. With that as background, we welcome your questions.
Operator: [Operator Instructions]. We’ll take our first question from Dan Moore with CJS Securities.
Robert Majek: Good morning. It’s actually Robert Majek filling in for Dan today.
Mark Allin: Hi, Robert.
Robert Majek: Looking at education textbooks, it is a bit unusual to see an acceleration in the rate of decline at this point in the academic year. Are there specific channels where you’re seeing more weakness and is rental penetration accelerating?
Mark Allin: So I think there are three – if we step back from one quarter, I think it’s always important with the education business to look across 9 to 12 months partly because the timing of ordering, the shift to digital ordering which moves further up in the cycle and much closer to the start of the semester can all impact it. But the same basic trends applied in this quarter is applied through the rest of the year and it’s roughly an even mix between adjustment in inventory in the channel, which turns up for us in the form of returns, the impact of rental as a lower cost option for students and the softening of enrollments. So I think what you’re seeing primarily in this quarter is the continued inventory correction piece of that whilst on a lower base of enrollments with rentals still an impact. So there’s no real shift between those drivers. They just continue to intensify as they have done over the last nine months.
Robert Majek: And is there a base level of revenue for education texts once you reach, you kind of foresee the rate of decline leveling off?
Mark Allin: That’s harder to project forward at this point. I think there are so many things at play including student behavior, the level of enrollments, the mix between the use of digital core solutions which is obviously where we are anticipating the market to go over time and where our investment is. But in the meantime we’re still facing particularly the impact of lower cost options. So at this point I wouldn’t speculate about that.
Robert Majek: Okay, thank you. And just lastly for me on online program management, congratulations on signing the four new partners. Just in terms of contribution to earnings with dilution, should we still expect profitability in the segment to improve in fiscal '18, or will start-up costs related to new partners pushed out further a bit to the right?
John Kritzmacher: Robert, this is John Kritzmacher. We are expecting as we’ve said throughout the year that for fiscal '17, the performance in terms of profitability for the online programs business will improve substantially. Last year, we were on the order of $0.16, $0.17 dilution where we have said throughout this year that we expect dilution for the online programs business to be somewhere on the order of $0.10 and we’re making steady progress towards that in our results through the third quarter.
Robert Majek: Thank you.
John Kritzmacher: Thank you.
Mark Allin: Thanks.
Operator: We’ll take our next question from Drew Crum with Stifel.
Drew Crum: Okay. Thanks. Good morning, guys.
Mark Allin: Hi, Drew.
Drew Crum: On the calendar '17 journal subscription renewals being up 5% year-to-date, can you talk about the nature of the remaining 13% you got contract for? The math would suggest that that part of business would be down pretty significantly year-on-year, but just want to make sure that’s accurate and understand how you get to up only 1% when you’re up 5% year-to-date.
John Kritzmacher: So, Drew, what we’re seeing principally at this point in time is timing differences that we are attributing to our move of our largest and most mature customers on to a database model, which essentially is providing unrestricted access to our library rather than highly specified title by title sorts of subscription decisions. That approach to contracting subscriptions with our larger customers has greatly simplified the whole administrative cycle and selling cycle around those subscriptions. So what we’re seeing is renewals happening earlier and that’s providing us with growth at this stage. But we essentially see that as a pull-forward in time from subscriptions that would have largely closed in the quarter that we are now in, in the fourth quarter. So it’s timing for the most part.
Drew Crum: Okay. And then two other housekeeping items on Research. The Atypon dilution that you’re expecting now $0.10, I believe it was previously $0.15. Can you confirm that and what’s driven the change in the expected dilution?
John Kritzmacher: So yes, it was previously – we had seen it as being on the order of $0.15. It’s now favorable to that. Much of the favorability comes from the integration costs that we anticipated being lower so far and what we expect for the balance of the year. That’s the most important part of it.
Drew Crum: Okay. And John, can you remind us the impact that the backfile sale had in the year ago period in terms of accretion to earnings?
John Kritzmacher: So the backfile sale in the year-ago period was 10 million in terms of revenue and it was about $0.10 in terms of its impact on earnings.
Drew Crum: Okay. And then just one last question for me in terms of the online program management deals that you announced, without getting into specifics with respected terms and economics, any commentary on how these compare to the 10-year partnership you signed with George Mason?
Mark Allin: We’ve talked for a little while about evolving this business towards bigger more recognizable national brand partners with whom we can develop longer term relationships across a broad number of programs which we develop over time and programs which we believe would drive higher average enrollments over time as well as the core driver. And all four of the relationships that we’ve signed, obviously three in the U.S., one’s a very recognized brand in Europe, represent the kind of partners who we think give us that market reach brand recognition in the kinds of programs which will attract students looking for education solutions to their employment needs and professional growth. So these are the right kind of partners developing the right kind of programs over time.
Drew Crum: And Mark, just to finish the question, the duration of the George Mason deal, are you guys sacrificing economics in favor of longer duration partnerships or no?
Mark Allin: No. I think the basic economics of per program that we’ve talked about before, the upfront investment in marketing have moved towards economic productivity over a two to three-year period applies. The 10-year relationship here is really about us developing a broad set of programs over time and having confidence that we can do that. It doesn’t really shift the economics on a program basis and therefore on a partner basis overall.
Drew Crum: Okay, all right. Thanks, guys.
Mark Allin: Thanks, Drew.
John Kritzmacher: Thank you.
Operator: [Operator Instructions]. We’ll take our next question from Allen Klee with Sidoti & Company.
Allen Klee: Yes, hi. During the Analyst Day, you talked about longer term goals of growing research at faster than the market rate. Can you talk a little about your thoughts of when you might start to see that and the actions you’re taking to get to those goals? Thank you.
Mark Allin: Sure and I can talk about it roughly in the same way as we did in the Investor Day. So there are three key drivers. One is continuing to grow our output in publishing footprint, so capturing a greater share of output; continuing to grow our market footprint in terms of customers, particularly global; and obviously leveraging the investment in Atypon to position us both to compete and win society business and to grow services that we offer towards some partners more generally. Those are multiyear investments but we’re putting those in place now and we expect to see the benefits of those begin to show up in the way that we’re performing and in our results over a two to three-year period and beyond. But they’re investments for the long term.
Allen Klee: Okay. Thank you. Also just a question on the tax rate. Can you talk about the – it looked like it was kind of low for the quarter and what was behind that, and does that change anything going forward?
John Kritzmacher: Sure, Allen. So we had about $0.12 in non-recurring tax benefits in the quarter. Those relate to foreign tax credits and they are tied to some actions that we took to lower our external debt by taking advantage of cash balances. So that had the effect of lowering our tax rate year-to-date to about 19%. And we’re expecting for the year it will end up somewhere right around 20% give or take.
Allen Klee: Okay. Thank you very much.
John Kritzmacher: Thanks, Allen.
Mark Allin: Thank you.
Operator: [Operator Instructions]. We’ll go back to Dan Moore with CJS Securities.
Daniel Moore: Good morning. Thank you. I apologize if you’ve covered these previously but just looking at corporate learning and online test prep, both had sort of nice upticks. Just talk about what you’re seeing there, what areas of the market or disciplines you’re seeing growth and your outlook for the remainder of this year but the rest of calendar '17?
Mark Allin: Hi, Dan. So the corporate learning business which is built primarily around the CrossKnowledge acquisition that we made a couple of years ago, so our focus continues to be on securing three-year subscription deals with large enterprise customers to provide customized and focused learning for their workforces globally. And a demand for that continues to grow. We have a small but growing footprint in the U.S. and we continue to consolidate our position in Europe. It’s a market that is – the digital corporate learning market continues to grow globally. It’s somewhat fragmented but we now have a pretty significant market position and continue to see a good pipeline of potential clients going forward and to be confident in the ongoing growth for that business. And in the test preparation business, the focus there is really on growing students for the existing programs that we have, particularly the core CPA and accounting and finance programs. And we’re seeing those students come from all over the world. But we’re also adding programs. We talked about the ACT program on this course and we continue to add new courses at a clip through the next 12 months, so feel good about the growth story there as well.
Daniel Moore: Got it. And then maybe just a housekeeping in terms of the shift to time-based journals, $0.33 this quarter. How much of the $0.38 EPS benefit for the full year is left or remains to be achieved in fiscal Q4?
John Kritzmacher: So Dan, we’re done. There was $0.05 in the first quarter, $0.33 in the third quarter and that’s it now.
Daniel Moore: Got it. And no remaining impact as we think about fiscal '18, correct?
John Kritzmacher: Correct.
Daniel Moore: Perfect. Thank you.
Mark Allin: We can stop talking about this. After almost two years, we can stop talking about this starting next fiscal year.
Daniel Moore: Sounds good. Thank you.
Mark Allin: Thank you.
Operator: And there are no further questions at this time. I’d like to turn it back over to Mark Allin.
Mark Allin: So thank you everybody for joining us today and we look forward to speaking with you again at our year-end call in June.